Operator: Ladies and gentlemen, please standby as we are about to go live. Thank you for standing by and welcome to GSI Technology's Fourth Quarter Fiscal 2015 Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. [Operator Instructions]. Before we begin today's call, the Company has requested that I read the following Safe Harbor statement. The matters discussed in this conference call may include forward-looking statements regarding future events and the future performance of GSI Technology that involve risks and uncertainties that could cause actual results to differ materially from those anticipated. These risks and uncertainties are described in the Company's Form 10-K filed with the Securities and Exchange Commission. Additionally, I have been asked to advise you that this conference call is being recorded today, May 7, 2015 at the request of GSI Technology. Hosting the call today is Lee-Lean Shu, the Company’s Chairman, President and Chief Executive Officer. With him are Douglas Schirle, Chief Financial Officer and Didier Lasserre, Vice President of Sales. I would now like to turn the conference over to Mr. Shu. Please go ahead, sir.
Lee-Lean Shu: Good afternoon, everyone and thank you for joining us. Today, we reported fourth quarter net revenue of 13.1 million that was within the range of the guidance that we have provided early in the quarter. Along with quarter gross margin that was very strong at 49.6% well above our guidance and our operating model due to favorable product mix of higher margin products. Litigation related expenses in the fourth quarter was 3.5 million, up from 1.8 million in the previous quarter and up from 2.6 million in the same period a year ago. The litigation-related expenses, again, were primarily associated with the pending patent infringement and antitrust litigation involving Cypress Semiconductors. But also included expenses incurred in connection unrelated commercial and trade secret litigation in which the company is a plaintiff. As in prior quarter we continue to see slowness in the telecommunication and the networking markets and continued weak sales in Asia. Looking forward to fiscal 2015 with effect to maintain our leadership position in high speed SRAM segment and we look forward to expanding into the low-latency DRAM space, the shipments of our initial LLDRAMs increased during the year. Also I got the latest news on the patent infringement and antitrust litigation involving Cypress Semiconductors. We have adjusted these settlements and file Form 8-K. Under the agreement we agree, each of the parties agree to dismiss its lawful which is credited in consideration of the dismissal with prejudice of the lawsuit filed by the other parties and each party would release against the other with respect to issues raising the two lawsuits. With that I will now turn the call over to Doug.
Douglas Schirle: For the year we reported a net loss of 5 million or $0.20 per diluted share on net revenues of 53.5 million, compared to net loss of 6.2 million or $0.22 per diluted share, on net revenues of 58.6 million from the fiscal year ended March 31, 2014. Gross margin was 47% compared to 44.6% in the prior year. Total operating expenses in fiscal 2015 were 31.2 million compared to 31.9 million in fiscal 2014. Research and development expenses were 11.9 million in fiscal 2015 compared to 13.1 million in the prior fiscal year. Selling, general and administrative expenses, which included litigation-related expenses were 19.2 million compared to 18.8 million in fiscal 2014. Litigation related expenses in fiscal 2015 were 8.6 million down from 8.7 million in fiscal 2014. The litigation related expenses again were primarily associated with pending patent infringement and antitrust litigation involving Cypress Semiconductor but also included expenses incurred in connection with unrelated commercial and trade secret litigation in which the company is the plaintiff. We reported a net loss of 2.7 million or $0.12 per diluted share, a net revenues of 13.1 million in the fourth quarter of fiscal 2015 compared to net loss of 5.4 million or $0.20 per diluted share on net revenues of 12.8 million in the fourth quarter of fiscal 2014, and net income of $148,000 or $0.01 per diluted share. Net revenues of 14.2 million in the third quarter of fiscal 2015 ended December 31, 2014. Gross margin was 49.6% compared to 45.7% in the prior year period and 46.7% in the preceding third quarter. Fourth quarter fiscal 2015 operating loss was 2.9 million compared to an operating loss of $654,000 in the prior quarter and an operating loss of $3.6 million a year ago. Total operating expenses in the fourth quarter of fiscal 2015 were 9.4 million compared to 9.5 million in the fourth quarter of fiscal 2014 and 7.3 million in the preceding third quarter. Research and development expenses was 3 million compared to 4.4 million in the prior year period and 2.9 million in the preceding quarter. Selling, general, and administrative expenses which included litigation related expenses were up substantially year-over-year to 6.3 million compared to 5.1 million in the quarter ended March 31, 2014 and up sequentially from 4.5 million in the preceding quarter. Total fourth quarter pretax stock based compensation expense was $544,000 compared to $390,000 in the prior quarter and $584,000 in the comparable quarter a year ago. Depreciation and amortization expense was $338,000 for the fourth quarter. Sales to Alcatel-Lucent were 3.6 million or 27.4% of net revenues during the fourth quarter compared to 3.2 million or 22.8% of net revenues in the prior quarter and 2.5 million or 19.7% of net revenues in the same period a year ago. Fourth -quarter direct and indirect sales to Cisco Systems were 1.4 million or 10.6% of net revenues compared to 2 million or 13.9% of net revenues in the prior quarter. And 2.2 million or 17.1% of net revenues in the same period a year ago. Military/defense sales were 17.9% of shipments compared to 24.3% of shipments in the prior quarter and 16% of shipments in the comparable period a year ago. SigmaQuad sales were 44.7% of shipments, compared to 40.7% in the prior quarter and 45.1% in the fourth quarter of fiscal 2014. Our Board of Directors has authorized us to repurchase at management’s discretion shares of our common stock. On August 20, 2013 the Board increased the dollar value of shares that maybe repurchased by $10 million. Under the repurchase program we may repurchase shares from time to time from the open market or in private transactions. Specific timings and the amount of repurchases will be dependent on market conditions, securities laws, limitations, and other factors. The repurchase program maybe suspended or terminated at any time without prior notice. During the quarter ended March 31, 2015 we repurchased 542,540 shares at an average cost of $5.36 per share for a total cost of $2.9 million. To date the company has repurchased a total of 8,728,538 shares at an average cost of $5.33 per share at a total cost of 46.5 million. Including 3,846,153 shares acquired for purchase at a purchase price of $6.50 per share under modified Dutch auctions self-tender offer completed in August 2014. At March 31, 2015 management was authorized to repurchase additional shares of our common stock with a value of up to $8.5 million under the repurchase program. At March 31, 2015 we had 59 million in cash, cash equivalents, and short term investments. $21.7 million in long-term investments, $66.2 million in working capital, no debt, and stockholder's equity of 96.4 million. Accounts payable at March 31, 2015 was $3 million compared to 4.9 million at March 31, 2014. Net inventory was 8.4 million at March 31, 2015 up from 8.2 million at March 31, 2014. Inventory turns at March 31, 2015 were 3.1 times compared to 3.4 times in March of 2014. Looking forward to the first quarter, we currently expect net revenues to be in the range of $13 million to $14 million, with gross margin of approximately 48% to 50%. We expect litigation related expenses of approximately $2 million in the first quarter of fiscal 2016. Operator, at this point we will open the call to Q&A
Operator: Thank you so much. [Operator Instructions]. Taking our first question from Kurt Caramanidi with Carl M. Hennig Incorporated.
Kurt Caramanidi: Hi guys, the $2 million for this quarter is that from prior or is this from the other suit in which you are a plaintiff?
Douglas Schirle: That’s both suits.
Kurt Caramanidi: Okay, so going -- has most of that been spent now that these other ones are settled or is there still more coming with the trade secret one that was noted in the release.
Douglas Schirle: Yes Kurt, at this point most of that spending has already incurred in this first month of the quarter. There has been quite a bit of activity certainly prior before holding the Cypress litigation involving lot of data gathering and discovery and so on. And the same thing has been happening in that other case in which we are plaintiff. But at this point I would think that certainly we are never going to see or shouldn’t see another $3.5 million on a quarterly basis and I would think that legal fees will certainly be significantly less going forward, hopefully less than the $2 million certainly to be incurred expected for this quarter.
Kurt Caramanidi: Okay, I was thinking you may be done with that now because what I was trying to figure out is what level of revenue would we be at to require to get profitable for a quarter but I was thinking that we didn’t have legal fees now, we maybe have still x amount, do you have a feel for that or?
Douglas Schirle: At the point where we are today I can certainly tell you that at one point we had 38 consecutive quarters of profitability. Had we not had those legal fees, litigation related legal fees certainly would have been profitable for each of those fiscal years that we showed losses and probably in every quarter within those years we would have been profitable. There is one quarter where we had some inventory reserve. I believe that we would have been profitable that quarter but I’d have to check.
Kurt Caramanidi: But so I am trying to figure out this fiscal year now, if we’re still running 2 million a quarter that really is...?
Douglas Schirle: It won’t be $2 million a quarter. Like I said, lot of the heavy lifting has already taken place in the month of April and into May and legal fees should be significantly lower. If we get to trial on this other case that we are involved in that wouldn’t be until till October. But I don’t think we expect a significant amount of legal fees at all until that timeframe.
Kurt Caramanidi: Okay, so maybe second quarter like 500,000 or less or something?
Douglas Schirle: You know I don’t really have a good answer to that. I don’t have the forecast from the attorneys, it’s hard for them to tell me what they expect to see on a quarterly basis certainly out more than the current quarter. But I would expect certainly less than a million and probably lot less than that until it gets a drop if attracted gets that far.
Kurt Caramanidi: And do you expect to win something, is this a royalty issue or cash thing or what’s kind of the…?
Douglas Schirle: It would be damages. Basically lots of trade secrets and IP.
Kurt Caramanidi: Is it measurable?
Douglas Schirle: We are going through that process now.
Kurt Caramanidi: Okay and then with these suits resolved, do you see customers, whether a customer is holding back on purchases because of the back and forth with all of this, with you settling other than saving a lot on legal fees which many people will be happy about? Do you see a positive impact business wise, merger opportunities, sales opportunities, what’s your thought on that?
Didier Lasserre: Hi Kurt, its Didier. So the customer, certainly this whole story as you know going back to ITC days there are certainly some issues there. Once ITC was settled some of the customers came back and there were some that were still little bit on the sideline. So whether this makes a change in that, it should be positive but it’s hard to quantify what that might be. But certainly its only positive going forward as far as that goes.
Kurt Caramanidi: Yes and is LLDRAM going to start to ramp here, I don’t know if you broke that out but how is that starting to look.
Didier Lasserre: We are still working on qualifications. The quarter that we just finished, the March quarter we actually had our largest revenue quarter for the LL family. So it is growing quarter-over-quarter but we are still closing calls, we are starting to get some initial orders from new customers. It’s still growing, it’s just taking a little longer than we expected.
Kurt Caramanidi: Okay, did you still have a government contract am I right that was going to be kicking in, is that this quarter, next quarter, when I think at the end of the year that was announced something like that?
Kurt Caramanidi: That’s correct. So it’s broken up into three shipments if you want to call that and the first one will be this quarter, the next one will be -- in fact it will be spread over the next two quarters. And the third shipment should be -- looks like right now the beginning or the first calendar quarter of 2016.
Kurt Caramanidi: Okay and just any general feel on, I know in listening to a number of calls as far as the couple quarters that if you look generally weak and people are for some reason generally optimistic about the second half, any color on that?
Didier Lasserre: It’s really hard to say. I mean, again the lead times for us are at all time lows and so the backlog coverage is it what it has been historically. So it’s harder for us to make predictions of the future. I mean certainly talking to our customers they feel good but again the real good predictor is backlog and right now the backlog is because of the shorter lead times isn’t as full as it would be in other years when lead times are running twice as long.
Kurt Caramanidi: Okay, good information, good new directors seem to have very strong resumes and be nice to see them buying some stock in participation. So other than that good luck with the developments and certainly legal fee reduction should help us going forward.
Douglas Schirle: We are very excited about that too, thank you.
Didier Lasserre: Thanks Kurt.
Kurt Caramanidi: Yes.
Operator: Thank you. [Operator Instructions]. And gentlemen looks like there are no further questions at this time.
Lee-Lean Shu: Thank you all for joining us. We look forward to speaking with you in July when we will report our fiscal first quarter 2016 results. Also for lot of you attending, we plan to present at the Fifth Annual LD Micro invitational in June. Thank you.
Operator: And ladies and gentlemen this will conclude today’s conference. We appreciate your participation.